Operator: Good day, and thank you for standing by. Welcome to the goeasy Second Quarter 2020 Financial Results. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. To ask a advised that today's conference is being recorded. I would now like to hand the conference over to Farhan Ali Khan. Please go ahead.
Farhan Ali Khan: Thank you, operator, and good morning, everyone. My name is Farhan Ali Khan, the company's Senior Vice President and Chief Corporate Development Officer. And thank you for joining us to discuss goeasy Limited's results for the second quarter ended June 30, 2022. The news release, which was issued yesterday after the closing market is available on load Newswire and on the goeasy website. Today, Jason Mullins, goeasy's President and Chief Executive Officer, will review the results for the second quarter and provide an outlook for the business. Hal Khouri, the company's Chief Financial Officer, will also provide an overview of our capital and liquidity position. Jason Appel, the company's Chief Risk Officer results are on the call. After the prepared remarks, we will then open the lines for questions from investors. Before we begin, I'll remind that this conference call is open to all investors and is being webcast at the company's investor website and supplemented by a quarterly earnings presentation. For those selling indirectly by phone, the presentation can also be found directly on our investor site. All shareholders, analysts and portfolio managers are welcome to ask questions over the phone after management has finished their prepared remarks. The operator will poll for questions and will provide instructions at the appropriate time. Business media are welcome to listen to this call and to use management's comments and responses to questions and any coverage. However, we will ask that they do not quote callers unless that individual has granted their consent. Today's discussion may contain forward-looking statements. I'm not going to read the full statement, but will direct you to the caution regarding forward-looking statements including the MD&A. With that, I will now turn the call over to Jason Mullins.
Jason Mullins: Thanks, Farhan. Good morning, everyone, and thank you for joining the call today. This morning, I will spend some time reviewing the highlights from the second quarter, along with recent business trends. Hal will then provide an update on cash flows, investments and our liquidity position before I discuss our latest outlook and revised forecasts. During the second quarter, we were pleased to have achieved record performance in several major commercial and financial metrics, which continue to highlight the growth potential of our business. Our spring media campaign, which included new TV creative, radio and an integrated digital video campaign combined with the ongoing efforts of our business development team to grow and nurture our merchant and dealer networks collectively produced a 51% year-over-year increase in applications for credit, which topped nearly $400,000 in the quarter. The record level of applications led to a record level of loan originations and organic growth. Originations in the quarter were $628 million, up nearly 66% over the second quarter of 2021 and more than a 30% lift over last quarter. Elevated originations led to organic growth of $216 million, an increase of 191% over the same period last year and above our expectations for the quarter. At June 30, our portfolio finished at $2.37 billion, up 32% from the prior year. It was also a record period for net customer growth, adding over 12,000 customers to the portfolio in the quarter. While all our products and channels are currently performing well, we experienced particularly strong performance in home equity lending, automotive financing, power sports financing and cross-selling unsecured loans across our customer base. During the quarter, home equity lending volumes were at record levels, up nearly 170% year-over-year. This second mortgage product secured by residential real estate is primarily used for debt consolidation and major home repairs as one of our best performing products with the lowest credit risk. These loans we issued in the quarter had average property values of approximately $500,000, which is 30% below the average price in our residential property in Canada, while the average loan-to-value ratio of loans issued in the quarter was below 60%, the lowest ratio of experience since we launched the product over 5 years ago. We also continue to make great progress toward our goal of becoming the leading nonbank nonprime automotive financing provider in Canada. Our active dealer network has expanded to nearly 1,900 dealers and our origination volumes topped $50 million in the quarter for the first time, up over 450% year-over-year. We also entered into a strategic commercial partnership and made a $40 million minority equity investment in Canada Drives, Canada's largest 100% online car shopping platform and a long-standing lead generation partner. Through this new strategic partnership, we have become a preferred nonbank financing provider within Canada drives online automotive retail platform. Each year in Canada, there are more than 3 million used vehicles sold. Canada drives innovative and industry-leading platform enables customers to shop, purchase, finance and trade-in vehicles completely online, providing a superior customer experience from first click to delivery. Under our arrangement, we will be providing automotive financing for a committed portion of the nonprime orderers who purchase and finance the vehicle through Canada Drive platform. The investment, which is structured as a convertible note will convert into preferred shares on a defined terms. We believe strongly in the potential of Canada Drives business and look forward to continuing our long-standing partnership. It was also a very strong seasonal period for the power sports category, which produced a 59% increase in origination volume over last year, driven in part by continued demand for key products such as ATVs, ROVs and motorcycles. These are consumer categories that continue to show strong growth in consumer demand throughout Canada. The last area we continue to experience strength is in our strategy to cross-market our wide range of products to existing and former borrowers in an effort to graduate them to up the credit spectrum and to lower-priced products. Tabitha seen excellent lending volume and credit performance from preapproving existing customers based on their credit profile and payment history. Due to the benefits of the existing relationships and the additional payment data on record, the loss rates of lending to existing customers that we already know is typically more than 25% better than we went to a brand-new borrower. Over the past few months, we've also been making great progress on the design of our new digital lending ecosystem, which remains on track to pilot later this year. This new digital portal will unlock significant potential to communicate with our customers and maximize future lending. Altogether, we were pleased with the overall quality of the originations written in the quarter, which provides us further confidence in the long-term quality of our portfolio. During the quarter, we issued the highest proportion of low and medium risk loans in our history, had a record level of secured originations at 34%. Sawhome equity loan-to-value ratios fell to below 60%, experienced a 20% increase in the average income of our automotive financing customers year-over-year and experienced diversified growth across all 7 unique product categories. As our sources of originations continue to diversify, the weighted average interest rate paid by our customers continues to decline, reducing to 31.7% at quarter end, down from 33.7% last year. We remain on a quest to continue passing on the benefits of our scale and leverage to consumers in the form of lower prices. Combined with ancillary revenue sources, the total portfolio yield finished within our forecasted range at 39%. Total revenue in the quarter was a record $252 million, up 24% over the same period in 2021. Despite the elevated level of inflation, our customers in the overall portfolio continue to perform well. The annualized net charge-off rate was 9.3% in the second quarter, at the lower end of our target range of 8.5% to 10.5%. The -- over the last several years, our business has structurally improved in a significant manner. Today, we have a diverse range of letting products sourced through a variety of channels, a growing proportion of secured loans and a wide range of risk-based pricing that caters to the entire non-prime credit spectrum. While the consumer lending industry has fully normalized post pandemic and experiences some economic headwinds, our loss rates are down nearly 30% from the 13.3% annualized rate we reported in 2019. With credit performance trending well, our loan loss provision rate reduced slightly to 7.8% from 7.7% in the first quarter of 2022, primarily due to the improved product and credit mix of the loan portfolio. We believe this level of provisioning reflects the appropriate credit risk and sufficiently contemplates further deterioration in the overall economic environment. We also continue to focus on delivering operating leverage from scale. During the quarter, our efficiency ratio, specifically operating expenses as a percentage of revenue was 34.2%, down 13% from 39.3% in the second quarter of last year. Operating income for the second quarter of 2022 was $85.2 million, up 52% from $56.1 million in the second quarter of 2021. Operating margin for the first quarter was 33.8%, up from 27.7% in the prior year. After adjusting for nonrecurring items, we reported adjusted operating income of $88.7 million, an increase of 11% over the $79.9 million in the second quarter of 2021. Adjusted operating margin for the second quarter was 35.3%, down from 39.5% in the prior year. Net income in the first quarter was $38.3 million, which resulted in diluted earnings per share of $2.32 compared to $1.16 in the second quarter of 2021. Again, after adjusting for the nonrecurring and unusual items on an after-tax basis in both periods, adjusted net income was $46.8 million, up 7.2% from $43.7 million in 2021. Adjusted diluted earnings per share was $2.83, up 8.4% from $2.61 in the second quarter of 2021. As highlighted earlier, we experienced another quarter of accelerated organic growth at $216 million or $142 million above the same quarter last year. As such, we incurred an additional loan loss provision expense related to the growth in our receivables. -- at a provision rate of 7.68%, the additional $142 million in growth resulted in an incremental $0.48 of provision expense on an after-tax per share basis. However, the incremental growth will produce earnings for years into the future, creating significant value for shareholders in the long term. With that, I'll now pass it over to Hal to discuss our balance sheet and capital position before providing some comments on our outlook.
Hal Khouri: Thanks, Jason. Shortly after the quarter end, we announced another meaningful enhancements to our balance sheet and liquidity position, a $500 million increase to our securitization facility, which stepped up from $900 million to $1.4 million. Facility continues to bear interest on advances payable at the rate of 1 month Caffe rate up 185 basis points. Based on the current 1-month PR rate of 2.94% as of August as 2022, the interest rate would be 4.79% prior to interest rate loss. As a general practice, we will continue utilizing interest rate swap agreements on the securitization facility to generate fixed rate payments on the amounts drawn to assist in mitigating the impact of increases in interest rates. Swap locks in an interest rate with a maturity that is roughly equivalent to the weighted average life of future cash flows from the underlying securitized loan collateral. As we draw incremental funds from the facility, the rates for each swap draw is equivalent to the sum of the locked in for a seed or rate plus 185 basis points spread. As securities loan collateral reduces over time, the hedge home balance amortizes down accordingly. As at the end of June, 93% of the company's drawn debt facilities were fully hedged. Inclusive of these recent enhancements at quarter end, we had approximately $1.09 billion in total funding capacity, which we estimate is sufficient to fund our organic growth through the second quarter of 2025, providing us with nearly 3 years of funding runway. Equally important is the cash-generating capability of the business. During the quarter, cash flow from operations before the net growth of loan portfolio was $56.9 million, up 18% from $48.2 million in the second quarter of 2021. With the cash flows projected in the back half of the year, the business now generates approximately $300 million of annualized free cash were to hold the portfolio flat. Free cash flows are then prioritized to first fund organic growth, followed by investing in new lines of business or new capabilities -- and then finally, repurchasing our shares for distributing dividends. We also estimate that if we were to run off our consumer loan and tumor leasing portfolios, the value of the total cash repayment pace of the company over the remaining life of its contract would be approximately $3.3 billion at a rate that would extinguish all external debt within 15 months. In addition to funding the record level of organic growth in the quarter, we also invested $15 million as part of the $40 million minority equity investment in Canada price mentioned earlier by Jason. And we also returned $20 million of capital to shareholders by repurchasing approximately 170,000 of the company's shares at an average price of $18.55. While the strong growth and additional uses of capital temporarily increase leverage on our business, we finished the quarter with a net debt to net capitalization ratio of 70% and in line with our historical target. Nonetheless, the strong cash flows of the business will result in gradually delevering the balance sheet over time. During the second quarter of 2022, we also recognized a $6.8 million pretax fair value loss on our investments, which was mainly related to marking to market the unhedged contingent shares of our investment in firm. The unrealized fair value loss and a firm during the period was partially offset by the realized fair value gain in the related total return swaps on our hedged shares. Since the additional shares of a firm were obtained on January 1, 2021, the company has recognized a realized gain on the noncontingent portion of the investment in the firm and its related total return swaps of $66.3 million, a realized gain on the swaps related contingent portion of the investment in term of $25.4 million and an unrealized fair value loss on the contingent portion of the investment in a firm of $4.5 million, including the cash received on the initial sale of pay rates to a firm, the total realized and unrealized gains amounted to $109 million relative to the initial investment of $34 million made in 2019 or approximately 3.2x the initial investment. We continue to hold our vested shares and since quarter end, the price of a firm shares has already recovered meaningfully. With 3 years of funding capacity, over $1 billion in liquidity and a sound strategy in place to manage interest rate risk on our debt, our balance sheet is well equipped to fund the recently revised growth outlook that Jason will now discuss in further detail.
Jason Mullins: Thanks, Bill. It has been an excellent start to the year for our business with first half organic loan growth of $340 million and a net charge-off rate of 9.1% below the midpoint of our target range. These results are a true testament to the business model and performance of our team who work passionately to serve the over 8 million non-prime Canadians taking access to credit and an opportunity to rebuild their credit. Given recent trends, the broader environment and the confidence we have in our growth initiatives, we have revised our 3-year commercial forecast consistent with past practice at the midpoint of the year. The most notable revision is the increase we have made to the loan growth of the portfolio, which we now expect to finish this year between $2.6 billion and $2.8 billion in consumer loan receivables then scale to between $3.8 billion and $4 billion in 2024. In consideration of the broader macro environment, we have also moderated the level of anticipated reduction in our loss rate, which we expect to remain stable for the balance of this year and throughout 2023, then gradually step down in 2024. After stress testing the portfolio, we believe the series of proactive credit hole enhancements we employed and plan to implement combined with the improving credit and product mix of our portfolio will continue to provide a partial shelter against deterioration in economic environment in the near term, producing resilient credit performance going forward. When combined with the greater level of growth and expanding margins from operating leverage, the net effect of these forecast updates is positive to the overall business. Turning to the upcoming quarters specifically. We expect the loan portfolio to grow between $180 million and $200 million. As our portfolio continues to evolve at average APRs decline, we expect the total yield generated on the consumer loan portfolio to decline to between 37% and 38% in the quarter. We also continue to expect stable credit performance at the midpoint of our target range with the annualized net charge-off rate remaining between 9% and 10%. As we highlighted during the call last quarter, there is an exhaustive list of reasons why non-prime consumers fare well during periods of economic weakness. Moreover, our disciplined approach to growth and credit risk positions us well to carefully utilize model enhancements and product mix to safely navigate our portfolio through periods of turbulence in the macroeconomic environment. In fact, as we've noted before, with banks tightened credit criteria in a downturn, nonprime lenders off that originate some of their best performing cohorts of loans. I want to once again thank our entire team for their outstanding efforts so far this year. They truly play an essential role in the financial system by serving the millions of hardworking Canadian families that rely on us for access to credit to fuel their everyday lives. With those comments complete, we will now open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Etienne Ricard with BMO Capital.
Etienne Ricard: Thanks part of your revised 3-year forecast, you lapped the net charge-off range broadly unchanged. What is giving you confidence first in the macro environment? And second, in underwriting standards as portfolio growth accelerates.
Jason Mullins: Sure. I'll kick that one off and then Jason has anything to add. So I guess the way we think about providing targets and ranges in our forecast, consistent with past practice is to try to make an informed and educated estimate as to what we think the future of the business is going to look like and to contemplate a series of potential headwinds and tailwinds, and that informs the range that we provide. And obviously, one of the potential headwinds at the moment is a level of economic deterioration. And we believe we've factored in a degree of that now into our projections. Obviously, if the degree of deterioration is more mild, we would expect credit to perform better and likely in the lower end of our ranges, while if it's a little bit more severe, likely in the higher end of our ranges. And of course, if there's a very catastrophic economic scenario, we would have to, as always revise our outlook. At the moment, we believe that the proactive credit model adjustments that enhance what we've made and continue to make, combined with the credit and product mix shift that we're seeing, which conspires to improve the credit quality of the portfolio is essentially acting as a shelter or an offset against deterioration that we see in the economic environment. And so that gives us quite a bit of confidence that in the next near-term period, we'll continue to see quite stable credit performance. When we look at the originations that we're producing at the moment, they're of our highest credit quality, as I noted in the remarks, we see quite a number of signs around a mix of credit, a mix by product, certain product-level attributes that allow us to gain even more confidence in the go-forward performance of the portfolio because the quality of the originations we're booking today are inherently better than the existing book, and therefore, that means our portfolio over time is actually improving. So we feel quite good. Obviously, the accelerated growth, it's important that the origination quality is very high given the current environment and based on what we're seeing, we feel quick good about the credit environment and how we can perform over the next couple of years. 
Hal Khouri: And maybe just to add, Jan, to that two points. One would be not all of the sort of macroeconomic issues are necessarily headwinds for our business. Most recently, obviously, with inflation hopefully peaking at its rate, we see some potential improvements as we look in the back half of the year and lower inflation is obviously good for the non-prime consumer. And the second point, just to reiterate is because we're regularly and constantly looking at the book and tweaking around the edges of the portfolio, because the portfolio experiences a pretty decent rate of churn year-to-year, fairly significant improvements can have a substantial impact on overall products and portfolio performance inside of 12 to 18 months. So we've been making credit adjustments ongoing ounces in the fourth quarter of 2021, which combined with, obviously, our shift in product mix gives us a fair degree of confidence that we have a reasonable amount of buffer built into the portfolio. Should we look at a potential miles or even moderate series of economic challenges moving forward. So that's basically what conspires to give us a good feeling overall.
Etienne Ricard: Have you seen any indications of tightening on the writing standards, my plan lenders and as a result, credit migration into your application volumes?
Jason Mullins: We -- so we believe that is occurring, although it's hard to for sure validate that. The signs that we would point to that we believe are indications as such would be the fact that as noted earlier, within individual products, we're seeing improvements that look healthy. So for example, the fact that loan-to-value ratios on our home equity originations are improving, in fact, the average income of our auto loan customers has lifted. At the individual product level, signs like that would suggest that there is the possibility that credit has tightened in the more prime end of the spectrum and pushes some better customers down into our territory. It's not a perfect size because our business strategy has been to improve credit quality. And so inherently, it's hard to delineate exactly which characteristic, but certainly, that would give us some indication of such. The other indication is we have seen in certain point-of-sale verticals and in automotive, some of the more prime like lenders increase rates and change the rate they charge at various credit tiers. Typically, that rate increase at various credit tiers is often combined with a company buy or a sign that they probably made some credit adjustments as well. So we know historically that, that tighter credit criteria in prime can benefit the quality of originations by nonprime lenders. It's just hard to very specifically say for certain to what degree that's occurring, but we think it's there at some level.
Etienne Ricard: Understood. And on geographical expansion, I'd like just to touch again on performance in the province of Quebec. What do you see as your next priorities in that province and what progress has been made in the past couple of years as it relates to loan growth and credit losses?
Jason Mullins: Yes, so it continues to remain a priority province for us. We have always had the view that long term, that province can represent its proportionate share of the population, maybe under-index a little bit just based on the fact that we're going to have a slightly tighter credit criteria in the province. But today, you can see at the end of the quarter, it was about 12% of our book as a whole and we know it represents 22% of the population roughly speaking. So that would imply there's still quite a bit of runway for growth there. As we've noted in the past, the credit performance of loans in Quebec, and this is across most products differs than the rest of the country. And you need to have specifically unique credit models for that territory. And so as a result, as you accumulate more data in the province, you need to constantly optimize and revise your credit models there to continue to dial them in to be more accurate. And given we've been in Quebec for, say, 5 years versus the rest of the country for 15 plus, we're earlier in our journey at building models that are as predictive, but we are happy with the quality of those models today such that we're continuing to grow the portfolio there with confidence. So I feel great about Quebec. And while there's still work to do with our expansion efforts and our credit strategy, it's performing well and it's a growing part of our business.
Operator: One moment for our next question, please. Our next question comes from the line of Nick [ph] with CIBC.
Unidentified Analyst: Okay. So you ended up the 2023 guidance for net charge-offs very modestly to reflect a bit more of a conservative stance. Jason, you had alluded to the fact that you've been kind of continuously tightening the credit box since late last year. Just given that you're adopting a little bit more of a conservative stance given the evolving macro outlook, do you see a more meaningful tightening on qualification criteria in the second half of this year? Or are you pretty comfortable with where the credit box is today? 
Jason Mullins: It's a good question. I would say we would continue to see our ability to tighten around the edges. As you know, credit lags -- so any type of business you're going to underwrite literally today isn't really going to start to impact your performance until at least 2, 3 is about 4 quarters from now. And as we've indicated before, with economic uncertainty on the rise in the country, we would proactively anticipate some small tweaks around the edges in an effort to maintain the loss rate within the targeted range that we've identified. So the short answer is yes, we would envision to continue to make changes. But because we've been making those periodically along the way, we don't view them as being as substantive, let's say, we were to do to molinonce, in which case, they would have a much more pronounced effect of slowing growth and obviously driving loss rates up in the near term as a result of that. So yes, we do plan on making periodic changes, but nothing more substantive in nature than we would have already been making over the course of the last couple of quarters. 
Unidentified Analyst: Okay, that's helpful. And this is more of an accounting nuance than anything else, but I noticed that the provision rate has actually come down in the first 6 months of the year despite the macro outlook arguably deteriorating over that time frame. Is that strictly a product of mix shift? Or is there anything else driving the evolution of the provision rate there?
Jason Mullins: No, it's primarily a result of product and credit. Obviously, as we continue to focus and build more business in the secured ranges with home equity lending, auto lending and power sports, notwithstanding the fact that these are better quality customers, they obviously generate much lower delinquency rates and much more importantly, lower charge-off rates. So that's principally with moving the provision rate down. And as we said before, as we improve our ability to learn from our underwriting over time, we continuously update and see the models that drive off our vision logic period-over-period. And those, combined with the obviously improved credit mix shift is what's overcompensating, if you will, for the otherwise adjustments we are making for macroeconomic change. So the best way to think about it is we are reflecting a somewhat superior macroeconomic environment in the provision, but that's been more than offset by the underlying credit quality of the business we've been originating for the past couple of quarters now.
Hal Khouri: And maybe I'll just follow on to that. Just to indicate that with the increase in volume overall, we continue to build on the overall balance sheet provision at over 100 million over $180 million at the end of the second quarter as well. 
Unidentified Analyst: Understood. Okay. No, that's helpful. And then last one for me. It's been a while since the federal government has made any comments about examining the criminal code rate of interest, and it was absent from the latest federal budget. Is there any update on that front? Like have you initiated consultations or had any other contact regarding an examination of the REIT? 
Jason Mullins: Yes. So we've been in regular contact with the federal government as part of our regular government relations strategy. We had a meeting with them about a month ago to talk about the consultation. Consultation has come out. They put out a consultation, which we feel, given our meetings with them, we've kind of helped shape and help inform based on the discussions that we've had we will, as we said before, respond to this and any other consultations that have been done in the past or will get done in the future. Our view on the regulatory stability has remained unchanged. We think that in all the discussions we've had with regulators over the years as you start to unpack the reality and unintended consequences of making a change and how it's putative to Canadians. In all those cases in the past, it's revealed the complexity of the issue and not led to any change in the regulation as it's something that can cause disruption to borrowers and push them into high-cost products like payday loans and other things. So we continue to believe that, that is and will be the case here. Having said that, and as we've said before, there's a difference between sort of lobbying on behalf of the customer segment in an effort to sustain the current regulatory environment and the realities of our business and the impact to our business. As noted, our average interest rate has come down very significantly. It's at 31% today. So even in the low probability that there were a change, our business today is in excellent position to accommodate a lower overall rate cap. And every day that passes, that mix and evolution of that business is further derisking the business from any future regulatory change. So we're in active dialogue. We participate in these kind of complications all the time from all the conversations we've had, we think the likelihood is that everyone will realize the value and the stability of the current regime. But we also know that the business evolution is there to support a change and allow us to continue to achieve our growth objectives. 
Unidentified Analyst: Yes. Okay, all right. That's very helpful. 
Operator: One moment for our next question, please. Our question comes from the line of Gary Ho with Desjardins Securities.
Gary Ho: First question, Jason Mole. I think I heard you say some of your peers have increased their rates. I know part, you can’t touch on your installment loans. But wondering of your other product buckets, are there a possibility for you to raise rates on those products? 
Jason Mullins: There is. And essentially, all of our product categories, we have average rates today so that fits very competitively in the marketplace and well below current regulatory limits. So theoretically, we could increase rates on any range of our products. That has not been our intent for our strategy, even with the slight increase we've seen on the cost of funding. We still are executing the strategy to bring down the average rate, still finding that the strategy to graduate customers progressively to lower rates and accepting the lower risk-adjusted margin does still lead to greater lifetime value and long-term profitability for the business, and it's a win for the customer. So there are times where in certain categories, certain credit tiers or certain products, depending on the consumer and competitive environment, we make small pricing adjustments -- that's just part of your ongoing optimization of trying to drive the right price rate loan that you offer. But in the whole, the average rate we charge across the majority of our products is and will continue to decline. 
Gary Ho: Got it. And then, have you -- I think in the past, you've talked about potential credit card offering. I know you and your team always are spending new product launches in the background. Can you give us an update on where that stands? And I'm assuming there's no growth of that vacant in Tier 3 year outlook? 
Jason Mullins: Correct. So we have just started our strategic planning cycle for this year in preparation for NEXT. During that strategic planning process and that cycle, we do a full review of the landscape competitive landscape, consumer market, consumer trends, determine where we think we are in the maturity cycle of our existing product range and then try to think about when is the right time to start to research and build a future product, knowing that we want to keep expanding the range. So no comment at this moment. We have not yet had that finding cycle and determined yet if we're going to move forward with any other products in the near term. Certainly, that still remains the strategy in the longer term. As we've said before, the benefit of having seen OneMain launch their Brightway credit card products is just continuing to give us more capability to monitor and benchmark our competitive set and how that's going for them. So, we're quite happy at this point to fit and absorb the data and many of the products we have today, automotive financing, certain point-of-sale verticals like health care, home improvement are still quite early stage in their build-out. So there's plenty to keep us busy. And then, just to clarify the last point you raised. You are correct. No new products are contemplated in our forecast and our outlook. That forecast and outlook is built up purely on the existing product suite that we have today.
Gary Ho: Okay. Perfect. And then maybe for Jason to Hal. I think you mentioned you put in credit enhancements during kind of Q4 of last year. Is that kind of what drove the higher quality originations that we're seeing in the quarter? And maybe you can help me reconcile the credit tightening there against the still very robust growth that you expect looking out? 
Hal Khouri: Yes. I'd say it was partially driven by the credit adjustments, those credit adjustments, again, because we've done them over several quarters are not dramatic or significant in nature when you compile them all, they obviously would at up to be more significant. But probably more than that, it's the harder push toward the secured side of our business, providing the both power sports, automotive and home equity lending. That would be the primary care with it's really having a more favorable overall impact on the total portfolio from a mix perspective, and we is helping to contribute to continued stable, predictable losses that fall within our guided range.
Gary Ho: Okay. And then maybe just lastly, if I can sneak one in, just a numbers question. So your net debt to net cap stands at 70%. If you execute on your 3-year target and assuming no buybacks or M&A, where could that trend down to in '23 and '24?
Hal Khouri: Yes. Jerry, it’s Hal here. Great question. So naturally, as the portfolio continues to mature and with the cash flows that are being generated by the business, we would certainly expect to delever and reduce from that overall 70% net debt to net cap rate, call it, 200 to 300 basis points over the course of some time.
Gary Ho: Okay. That's helpful. Those are my questions.
Operator: One moment for our next question, please. Our next question comes from Jaeme Gloyn with National Bank Financial.
Jaeme Gloyn: Probably going to nitpick here, but just looking at the delinquency rates on the last Saturday of the month in June versus March, the uptick really looks like it was driven by the 1- to 30-day segment, so maybe not all that concerning, but potentially a leading indicator. So wondering if you have any additional color as to than maybe the types of borrowers or what are some of the factors that are driving that delinquency a little bit higher in that aging segment? 
Jason Mullins: Jamie, it's Jason. Glad you brought that up. It gives us an opportunity to maybe provide some additional clarity on some of the -- what may be preceded is counterintuitive aspects of continuing to grow your secured business, which, overall, as we mentioned before, drives improvements in credit. The way to think about it is that our secured portfolios, which are obviously made up of residential real estate, auto, power sports are generally characterized by all higher total dominancy rates, and that's because, obviously, they have much longer aging cycle out to 180 days and also because they're not impacted in the same way that unsecured portfolios are by the impact of solve However, as we said before, because these secured portfolios have much more lower roll rates of customers we pay on a regular basis and also have significantly and higher recovery rates, they're able to generate much lower charge-offs. And let's say, our typical unsecured loans, which show up lower delinquency rates, but have higher charge-off rates because we have to incorporate the fact that the low rates to delinquency in subsequent profits are longer. And we also have to factor in the impact of so -- so necessarily a jump in the total delinquency doesn't necessarily correspond to an increase in the level of risk in the portfolio. In fact, it's actually quite opposite from a charge-off perspective even if it would appear that the delinquencies are higher. 
Jason Mullins: You think about it that’s a little bit carintuitive, but expand on Jason’s point, our unsecured credit products would have delinquency in the mid-single digit, but charge-off rates in the low double digits. – whereas the secured products, specifically powersports and auto would have delinquency in the higher single digit, but charge-off rates several points below that in the mid-single-digit range. So the shift in product mix towards those secured categories will look as though the delinquency is rising, but doesn’t manifest itself in the charge-off rate because, as Jason said, the role from each bucket to the next is lower. And then, if you do experience a role to the very end of the charge-off cycle, you have an asset you can recover that then generates recoveries and offset that charge-off to lower the net charge-off rate. So that mix shift, you’ll see, even if you go back for the last year, you’ll see that the delinquency over that period has gradually stepped up, but yet our charge-off rate was 9.6% in Q4, 88% in Q1, 9.3% in Q2, and we’re guiding to be stable again. So over the entire period, you’ll have seen that kind of already evidence itself in the way the business is performing.
Jaeme Gloyn: Okay. So, I would take it as the step-up in that 1 to 30 segment reflects far more secured loans than maybe Q1 2022.
Jason Mullins: Correct. That's right. Yes, the loans are obviously much larger than that. I think our portfolio…
Jaeme Gloyn: Right, right. And nothing to speak of in terms of like deterioration or softening of payment or collection rates, I suppose, as well.
Jason Mullins: Nothing that’s concerning. We have seen small pockets of – in certain credit and product segments, some small signs of deterioration. And so that’s part of what has informed our updated and enhanced outlook, which is that if there’s going to be a level of deterioration in certain areas, then our product and credit mix shift should be what acts as an offset. So you could have deterioration in certain parts of your business, but if the mix of your business is shifting sufficiently to work better parts of that business, the aggregate performance is going to remain quite stable, and that’s the effect that we’re seeing. So yes, we’ve seen a little bit of deterioration in a few pockets, but nothing material, nothing that concerns us or provide any downside to our view about the outlook in provided.
Jaeme Gloyn: Understood. One for Hal, just on the hedge credit facility. And I'm just trying to think about maybe like an inflection point. So do you have any further color around like maybe the duration of those hedges? And obviously, the CDR rate has spiked up a lot more in the last couple of months, which we -- as the book rolls into those secured facilities, we should see the interest rate rise maybe a little bit faster than what it has over the last couple of quarters. Just wondering if you have a little bit more in terms of timing and duration of the hedges that would be at, I would say, lower CDR rates? 
Hal Khouri: Yes. Jamie, great question. So first and foremost, what I would say is that our overall position is to hedge all or nearly all of debt that we take on the balance sheet. And as it stands today, over 93% of our drawn debt, we actually have hedged. First piece would be around our high-yield notes. Those will move in lock step with the defined maturities. And the second piece would be around our securitization warehouse facility. And as we bring on new product verticals, obviously, the life of those loans will vary depending on the product vertical. But generally speaking, on average today, we're in around 2-year amortization period on that debt. But you're right, as we take on incremental draws given the current rate environment, we do expect overall rates to increase. So by way of example, if we look at our current drawn debt on our securitization facility as we've quoted in our PR document and through the call script, just out of 4.8% on a pre-swap basis, post swap, we're looking at in the range of 5.4% today. If we're to fast-forward based on projected movements in the overnight rate through the course of the coming months, I would expect that to move into Q1 in or around the 5.85% range. And so naturally, that will flow based on movements in the rate environment and the overall rate curve. But generally speaking, I think, relative to overall expected movements in the rate environment, given our hedging strategy, we've really been able to mitigate that impact quite nicely.
Jaeme Gloyn: Yes, agreed. And that 5.85 that you're sort of quoting or forecasting for next quarter, that's new money rate. Obviously, the actual interest expense would be quite a bit lower than that. Correct? 
Jason Mullins: Correct. Yes.
Hal Khouri: On our draw, obviously, we would expect somewhere in the range as we get into the tail end of this year, somewhere in the 20 to 30 basis point range in terms of movement in terms of drawn debt.
Jaeme Gloyn: Great. All right. That’s it for me [ph].
Operator: Thank you. One moment for our next question, please. It comes from the line of [indiscernible] with Raymond James.
Unidentified Analyst: Maybe, Jason, you just talked about the auto book because it is becoming a bigger portion, I think, going forward. Specifically on -- has there been any changes with -- and I know you inherited some of the book from Lend care to processes. Are you dealing now with changes in the way you deal with late payments. Maybe you could just talk about repossession. Is that something that's been done internally, you outsource remarketing? And do you have the staff to deal with that part of the business as it grows? 
Jason Mullins: Yes. Great question. So we feel very good about our auto finance program. As you noted, when we acquired Lens Care, we identified that they had been in the auto market and done quite a number of years of testing in that space, accumulating data and experience that was very valuable to us given we were already on our way to wanting to build and enter that market. So we've been able to put our combined expertise together to really back and support and promote growing that particular product line. The Lend care business came with the majority of the existing infrastructure to support automotive financing. If you think about powersports lending and the infrastructure needed to assess merchants and underwriting merchants, the infrastructure to manage the servicing of the portfolio and the assets, the infrastructure to handle repossession, conditioning and remarketing an asset, all of the same skills and capabilities and technology that are needed for automotive exists in powersports. So we've been able to leverage that. The majority of that is all managed in-house. The actual people and the reconditioning centers and the remarketing sectors are often third-party providers, but we manage and oversee those processes internally. And as I said, that's still accumulated over many years that's being replicated from what was developed in Powersports. Obviously, over the last year, as we've been gradually growing that program, there have been many changes, changes to credit adjustments, changes to pricing adjustments small changes to underwriting practices, nothing significant or material, but what I would just call the traditional ongoing optimization effort that always exists when you're growing and building a new product. And obviously, we're tracking loan level performance and vintage level performance. And that's important because that tells us that as we make these enhancements and improvements, we're seeing signs of that in the performance of loans. And probably the most notable thing there is that as that year of time has passed and we scaled the product, the quality of the originations we're writing now are even better than what they were in the earlier beginning of that product category. But I said earlier, incomes are up average credit scores are up that borrower as well. So we're happy with where it at were. 
Unidentified Analyst: Okay. And maybe a general macro question. I'm not sure if this is so they can be easily answered. But if I look at the macro, not so much from the credit side, but from the growth side, when I looked back a couple of years ago through Covid, there was a big decision you made to shut down the growth, and maybe it was uncertainty, but now we're in a different period where we've got higher rates, recessionary, I think, concerns have been raised yet, there doesn't seem to be any thought of slowing down growth. Maybe you could just compare the 2 periods and what you think is different, I guess, about 2022 versus 2020?
Jason Mullins: Yes, for sure. So the big difference is that in 2020, when Covet the primary driver behind the decision to scale back marketing spend that resulted in a moderation of growth. In fact, for 1 quarter, we had a slight pullback in the portfolio was entirely based on consumer demand. the pandemic effect on stay at home orders meant that nobody was spending money. Everyone was sort of locked down and the need and the desire for credit to completely drive us for a period of time. And so when there's no demand in the market, there's no interest from consumers to borrow and spend and grow and live their lives, we decided to temporarily curtail marketing spend and not try and chase the market that just wasn't looking for lending growth. Contrast that to today, and you have a very different picture. You've got the highest levels of employment we've ever seen in generations. You've got pretty solid wage growth -- you've got pent-up demand in a variety of categories from customers coming out of the pandemic. You've got travel returning, -- you've got all these great things that is creating a good overall healthy level of consumer demand and consumer spending. And so certainly, there is some economic headwinds that appear to be emerging and inflation is putting some pressure in some pockets. And will that also continue to slow a little bit as rates continue to tighten and governments try to get inflation under control yes, probably at some level, but the broader environment for overall consumer demand for credit and the types of products that we're in still remains very, very small. The other thing to note is that several of our product categories, if we just take automotive because we just spoke about it as an example, it's still very small and very early. So even if that category as a whole at the consolidated aggregate level were to experience a decline temporarily. That doesn't mean that we might not be able to grow that product category because we're starting from a very small base, and we're building our market share. We only have, as I said, earlier, 1,900 auto dealerships in our network today. We think there's like north of 8,000 that over time can be part of our network. And so, as you add more dealerships, just like when we had the financial branches in the early years, you're shipping your well into market share that even if that market as a whole, is it fairly growing, does mean we won't be able to capture more of the portfolio. 
Unidentified Analyst: Okay.
Operator: [Operator Instructions] Our next question comes from the line of Marcel Mclean with TD Securities.
Marcel Mclean: Okay. Most of my questions have been asked and answered so far. So I just have one on capital allocation. You kind of paused buybacks part way through the quarter when you announced your Canada drives investment. And then since then, you've increased the securitization facility where you said you're funded to Q2 25, I think. Just wondering what the thoughts are on buyback versus organic growth versus other strategies you could provide an update there?
Jason Mullins: Yes. I'll just kind of reiterate the Hal comments from earlier. Organic growth is our top priority from a capital allocation perspective, investing in new lines of business and new capabilities that will fuel growth in the future is our second priority. And then share buybacks follow in line thereafter. Obviously, depending on the price of our stock, the point at which we begin to reallocate capital away from those priorities and toward purchasing shares will vary. And the current state of our leverage and how much excess capital capacity we have between our current leverage and target leverage also determines how much capital we can allocate and deploy to those types of discretionary things. At the moment, we're at a very comfortable position in terms of leverage. Although we do plan and think we will see continuing delevering in the coming periods, and we're experiencing very robust organic growth. So at the moment, our priority is to continue to allocate capital in that manner, which is why you would see less buyback activity today. If the cash flows of the business were to improve, growth were to slow or the share price was to fall but would obviously be an inflection point where we would reshift that priority. In fact, we've even done an analysis to establish for different portfolios of loans and the profitability of those loans what is the appropriate share price level such that we'd be better off to allocate capital to repurchasing a share and it would actually be more accretive. So we kind of know what those various price levels are that, that would become how we would reprioritize. But because the organic growth is so strong and it's the most profitable and generates the best long-term returns, that remains the priority. And then, we just continue to kind of monitor the market and make adjustments on that.
Marcel Mclean: Got it. Makes sense.
Operator: And there are no further questions in the queue. I will turn the call back to management for any final remarks. 
Jason Mullins: Great. Well, thank you again, everyone, for joining today's call, and we look forward to a fantastic rest of your day. 
Hal Khouri: Bye now.
Operator: And ladies and gentlemen, this concludes today's conference call. Thank you for participating, and you may now disconnect.